Operator: Hello and welcome to the Semler Scientific Third Quarter 2022 Financial Results Call. All participants will be in listen-only mode. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to your host today, Douglas Murphy-Chutorian. Please go ahead, sir.
Douglas Murphy-Chutorian: Good afternoon, everybody, and thank you for joining us for the third quarter 2022 results call. I'd like to introduce Renae Cormier, our Head of Corporate Communication and Business Strategy, who will -- came for us today. Renae?
Renae Cormier: Thank you, Doug. Good afternoon and thank you for joining us today. In addition to Doug, with me are Andy Weinstein, SVP Finance, Accounting; and Dennis Rosenberg, Chief Marketing Officer. Doug, Andy, Dennis and I will be available for Q&A following today's prepared remarks. Before we begin, I need to remind you that certain comments made during this call may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. These include statements regarding our expectations for expansion of our business and additional products as well as our updated financial guidance. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and our SEC filings. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update our forward-looking statements. If you do not have a copy of today's release, you may obtain one by visiting the Investor Relations page of our website, semlerscientific.com. During the third quarter of 2022, the company reported continued quarterly income and cash generation. We have updated our guidance for both revenues and operating expenses such that the net effect is to raise fiscal year 2022 expected income from operations compared to our previous guidance of revenues and operating expenses. We will provide more color about guidance after Andy describes our financial performance for the third quarter. Andy?
Andrew Weinstein: Thanks, Renae. Please refer to the financial results described in the press release that was distributed at market close today. For the quarter ended September 30, 2022, revenue was $14 million, the same as the corresponding period of 2021. Fixed fee revenues were $8.6 million, an increase of 10% year-over-year. We continue to grow revenues at our largest customer as well as at other existing and new fixed fee customers where we saw good revenue growth during the quarter. We believe we are continuing to see traction from the Nevada Paper that was published in June 2022 in its final form. Variable fee revenues were $4.9 million, a decrease of 16% year-over-year. Revenues declined in part to a volume pricing discount reached by a large customer as well as market share shifts from higher-priced customers to lower-priced customers. Equipment and other revenues were $500,000, an increase to 79% year-over-year. In the third quarter of 2022, our largest 2 customers, including their related affiliates, comprised 41% and 26% of revenues. Operating expenses, which includes the cost of revenue, were $9.6 million, an increase of 10% year-over-year from $8.7 million. Operating expenses increased over the prior year period, primarily due to increased headcount in line with our business expansion plans, wage inflation, increased insurance and professional fees. Net income was $3.7 million, a decrease of 11% year-over-year from $4.2 million. Net income was $0.46 per diluted share, which compares to $0.51 per diluted share during the same period last year. For the quarter ended September 30, 2022, weighted average basic share count was 6.7 million and weighted average diluted share count was 7.9 million. We repurchased 47,500 shares for $2 million during the quarter at an average price of $43.08 per share. We had cash and cash equivalents at the end of the quarter of $45.5 million. At the end of the third quarter 2022, headcount was 124 employees, compared to 121 at the end of the second quarter of 2022. We expect to file our quarterly report on Form 10-Q on or around November 4, 2022. Now I will turn it back to Renae to discuss our guidance for the remainder of the year in more detail. Renae?
Renae Cormier: Thanks, Andy. As previously mentioned, we have updated our guidance for both revenues and operating expenses such that the net effect is to raise fiscal year 2022 expected income from operations compared to our previous guidance of revenues and operating expenses. We now expect annual revenue will be in the range of $55.5 million to $58 million, versus our previous guidance of $58 million to $60 million. We have changed our guidance for annual revenue due to continued growth in fixed fee license revenue, offset by lower-than-expected variable fee revenue. To support overall growth, we are encouraged to see increasing customer interest in the product and a robust pipeline, which we believe is due, at least in part, to the Nevada Paper gaining traction. We added a number of new customers during the quarter, including some launching brand-new pilot programs. Revenues from fixed fee customers other than our largest customers, saw good positive growth in the quarter, further diversifying our customer base. Despite an increase in variable fee units purchased in Q2 and Q3, testing at a large variable fee customer did not materialize as we anticipated. In addition, we are seeing market share shifts from higher-priced customers to lower-priced customers. We believe this shift in market share will not be as pronounced in Q4 as it was in the first 9 months of the year. Our guidance does include lower pricing for a large customer who achieved a volume pricing milestone. We do not expect revenue from the QuantaFlo product extensions or Insulin Insights to be material in 2022. We now expect fiscal year 2022 operating expenses which includes cost of revenue to be in the range of $38.8 million to $40.3 million, less than our guidance last quarter of $42.5 million to $44 million. We improved our guidance for operating expenses due to better expense management and better-than-expected efficiency of our sales force. The net result of the changes to guidance of revenues and operating expenses is to raise expected income from operations compared to our previous guidance of revenues and operating expenses. Income from operations is expected to be in a range of $16.7 million to $17.7 million. We plan to give annual 2023 guidance with our fourth quarter and fiscal year 2022 earnings release. To date, we have had stock repurchases of $5 million or 149,000 shares. Given the volatility in the market, we remained cautious when buying back shares during the quarter. We have $15 million remaining on the Board authorized stock repurchase program. The timing and the amount of any future transactions will be subject to our discussion based upon market conditions and other opportunities that we may have for the use or investment of cash balances. We believe there may be good opportunities for us to pursue our goal of diversifying our product range through licenses or acquisitions. Our goal is to maximize stockholder value. Now I will ask Dennis to continue the discussion and provide concluding remarks. Dennis?
Dennis Rosenberg: Thank you, Renae. Our R&D goals continue to be to upgrade the existing products and data services to commercialize other internally developed services and products and to in-license or distribute new services and products, which we believe can provide enhanced value to our customers. Our business development goals are to make new additions to our customer base, expand orders from existing customers, introduce additional products to our customers, both through upgrades to existing product and data services and new products and further establish our QuantaFlo product as a standard of care in the industry. We also announced earlier this year that QuantaFlo can now be used as an aid to identify patients who would benefit from further evaluation for another cardiovascular disease. As previously mentioned, we have submitted the data to a peer-reviewed journal, which has accepted the manuscript for review. Because in the peer review and publication date are controlled by the publisher, the timing is not under our control. We will provide an update as soon as the paper is published. We believe this extension of QuantaFlo through our internal development efforts may make it even more valuable to assist the medical community in the future, including Medicare Advantage providers. We intend to sell this extension to our existing customer base and others as an upgrade to our software as a service business model. Other key points regarding this extension are the unserved clinical problem may be as important as PAD, a medical aid performs the test in a primary care setting, similar to how one uses QuantaFlo for PAD. It uses the existing FDA clearance as we anticipated this extension many years ago. The technology is protected by trade secrets. We've made progression in discussions with a handful of customers because routine testing is something that has never been done before, we believe it will take time to roll out. We anticipate customers will choose to run pilots prior to full implementation. These pilots are less likely to happen this year given organizations typically do not choose to start a new program in the fourth quarter because of the need to inform and train staff that have limited time. Regarding Insulin Insights, initial installations and new sales continue to progress. The new sales include small pilots that have the potential to grow over time. There is minimal revenue included in our fiscal year 2022 guidance for Insulin Insights. We believe that the market for vascular disease testing is larger than our current market penetration. So there is room for continued growth. We continue to invest in R&D with the goals of providing innovative products that enhance value to our customers now and in the future. Accordingly, we are optimistic for our future. Thank you for your interest in the company and your continuing support. Now operator, please open the lines. Doug, Andy, Renae and I will be happy to address your questions.
Operator: [Operator Instructions] And the first question comes from Brooks O'Neil with Lake Street Capital Markets.
Brooks O'Neil: I have a couple of questions. I guess I'd like to start off by just asking -- founded to me, as we talked at the second quarter, like you guys expected perhaps more normal seasonality in the business this year compared to last year. And if I was listening correctly, this afternoon, it sounds like maybe that didn't really materialize. Could you just comment on what you did see and why you think the result was what you saw this quarter?
Renae Cormier: Yes. I can start with answering that. So when we are looking at the back half of the year, we wanted to get away from talking about seasonality because when we were looking at our variable fee revenues, while we don't like to talk specifically about individual clients. We did notice that business at certain large customers did not materialize as we anticipated based on discussions throughout the year. So we believe there may be some disruptions going on the business internally, but we don't have solid evidence of this, so we don't want to speculate. We are also seeing some market share shifts within the HRA industry, including at our clients. So we're seeing some larger customers increasing their share of the market and taking share of smaller customers, which may have been higher priced. And also, as we mentioned in our comments before, we did see a large customer that reached the volume pricing milestone in the quarter. So although this was anticipated, these pricing tiers are relatively broad, and we don't expect new milestones to be reached often.
Brooks O'Neil: Okay. That's all very helpful. I appreciate that, Renae. I'm curious -- I totally understand you don't like to talk about specific customers. However, I guess it's fair to say there was potentially a material M&A transaction announced during the quarter. And I'm curious if you feel that, that was disruptive to the business as it kind of turned out?
Renae Cormier: Yes. So we don't have any specific insight into specific customers. We believe there may be some disruption going on internally, but we don't have solid evidence on this. And so we don't want to speculate on that. So I guess we can see when we get some more information from other customers.
Brooks O'Neil: Yes, okay. And I appreciate the commentary about your line extension for QuantaFlo and what's going on there with the publication of data, but would you say you're encouraged by the response of customers? You're discouraged by the response? Can you give us any color with regard to what your -- the nature of the responses. I understand you're going to -- you expect some testing by those customers, but are they excited? Are they cautious? How would you characterize it?
Renae Cormier: Yes, sure. I think we've made progression in the discussions with customers. And customers are interested. But because it is testing that has never been done on a routine basis before, we think that our customers are being cautious, and they want to make sure that when they have this product and if they want to roll it out that they do have all the information and they know how it will look in their system and that they will be able to treat these patients without overwhelming it.
Brooks O'Neil: Sure. Okay. I get all that. I'll just ask you one more question. And I can't remember specifically if you commented about this in the past. But obviously, one of the features that appears to be a key selling point for the PAD testing is the availability of incremental premiums for Medicare Advantage health plans. And I can't remember whether you've commented about the possibility of incremental premiums or the new test that you're working on and contemplating for the future, whether those incremental premiums are available and attractive more, sort of what's the status with that it?
Renae Cormier: Yes, there -- with the incremental premiums -- there could be incremental premiums available to our customers for the extension.
Brooks O'Neil: So on the order of the incremental premium per PAD? Or is it more or less or about the same?
Renae Cormier: It could be as much, if not more.
Brooks O'Neil: Okay. Great. Appreciate all the color, and I continue to be optimistic about your future.
Operator: And the next question comes from Marc Wiesenberger with B. Riley Securities.
Marc Wiesenberger: Talk a little bit more about the volume and pricing dynamics that factored into the third quarter variable fee revenue, both with your second largest customer and the other HRA providers? And would love to hear kind of about the price discrepancies that you're talking about between those customers? And then also driving the change in the market share? And if you are essentially the only supplier of this portable PAD test, why can you not maintain more pricing discipline especially in terms of the ROI you provide for these HRA providers?
Renae Cormier: Sure. So I can start with answering some of that. So we did reach a pricing -- a volume pricing milestone with a large customer. So again, these pricing tiers, we think, are relatively broad. So we don't expect to have them reach often. But we do believe that incentivizing the large customers to increase volumes is good for our business and our product stickiness. The market share shift that I was referring to are chips within the HRA industry and within our clients. We do have many clients within the HRA industry, and we are seeing some market share shift. And some of the shifts that have been occurring are going from smaller clients who don't have the volume or the volume pricing discount that some of the larger clients have that may be gaining share.
Marc Wiesenberger: Can you just elaborate a little bit on what that potential gap is between a more preferential pricing versus more kind of stock pricing?
Renae Cormier: Yes. So for competitive reasons, we don't want to talk about the gap in between pricing. I hope you understand that.
Marc Wiesenberger: Okay. Is there a potential risk that there is a shift from going from variable fee pricing to a fixed fee pricing regime? And we're just kind of digesting some of that right now until that is more broadly rolled out or plays out?
Renae Cormier: I don't think that, that would actually be a risk of shifting from variable to fixed fees. And just when thinking about that because the fixed fees are a standard set fee per month, and it's not dependent upon tests. I think that actually, in the long term, that could be beneficial to us because again, it is more of a recurring and steady nature.
Marc Wiesenberger: I agree with that, but that will cause some volatility in the near term. Is it possible that we are experiencing some of that volatility right now?
Renae Cormier: From what we're seeing, there's been some minimal shift from variable to fixed fee, but I do not believe that the variability of what we're seeing right now is due to that.
Marc Wiesenberger: Got it. And then you talked about a potential large customer of doing a beta test that ultimately didn't materialize. Why would they not -- why do they choose not to move forward following that test?
Renae Cormier: Are you talking about for the product extension?
Marc Wiesenberger: I just thought I heard -- I think you said you sold equipment, I believe, in the second and third quarter, and then there was a test that didn't materialize?
Renae Cormier: Yes. So no, that was not related to a beta test. So when we look at our equipment and other revenues in Q2 and Q3. We actually saw quite an increase from the prior year. And so that typically will portend an increase in variable fee revenues post the increase in equipment sales. And we just did not see that materialize in this quarter as we had expected.
Marc Wiesenberger: Got it. So that's -- it's not that it will not materialize or just maybe didn't materialize on the timing that was expected?
Renae Cormier: That's right. And it's not -- it wasn't related to a pilot or a beta test.
Marc Wiesenberger: Got it. Okay. I got a few more here. Could you talk about -- with regards to lowering expenses, where are those cuts coming from? And is there a potential that if you're not making some of the investments you initially thought you were going to, that maybe there's potential impact to growth going forward?
Renae Cormier: Yes. Sure. So we didn't necessarily cut expenses, but it was that we were able to manage expenses better than we had expected, and we did get some sales force efficiency that we weren't expecting. We do not anticipate that there's going to be any impact to future revenue growth because our feeling is that we want to invest in the business, and we will invest in the business. If we see that it will give us potential for growth. But as we look into where areas are expanding, and we see how it's going with customers, and we're able to look and -- at the expenses going forward and modify our spending as we see fit.
Marc Wiesenberger: Got it. Okay. Two more for me. Can you help us understand the dynamics that would need to play out in the fourth quarter in order to either be at the lower bound or the upper bound of your new guide? Because at those 2 extremes, or either at the lowest quarter of the year or the highest quarter of the year. So just would love to hear kind of what needs to happen under those different scenarios.
Renae Cormier: Yes. So we realized that we had put a wide band out there, and that was on purpose because while we do have discussions with customers, just in case they don't materialize in Q4 as we saw in Q3. We wanted to put that out there. We have also, as we mentioned on the fixed fee side, we have been -- had some positive growth in fixed fee licenses, both at new and existing customers. So we do have some customers that have started pilots and we're just unsure of how those sales for new customers will ramp in the future. And so that's part of that range on the higher end.
Marc Wiesenberger: Got it. Okay. And then just a final one for me. I think SYNAPS Dx had a really nice release today that their skin test to detect Alzheimer's has become the only autopsy validated test to accurately identify Alzheimer's in the presence of mixed dementia with their biomarker specific and sensitivity of like a 100% when compared to the NIH gold standard criteria. So can you remind us your -- about your investment in SYNAPS Dx and what potential rights or options you have there going forward?
Renae Cormier: Yes, sure. So we actually do really like the technology there. But our investment there is purely an equity investment. So we don't have any sort of rights, nor do we have a distribution agreement at this time.
Operator: And this concludes the question-and-answer session. Now I would like to turn the call over to Renae Cormier for any closing comments.
Renae Cormier: Thank you for joining us today. We remain optimistic about our future and look forward to updating you soon on our continued progress. Have a good afternoon.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.